Operator: Good morning, ladies and gentlemen, and welcome to the Ferrellgas Partners L.P. Q1 2026 Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Michelle Maggi, Vice President, Corporate Affairs. Please go ahead, Michelle.
Michelle Maggi: Thank you. Good morning, everyone. Thank you for joining us today for our first quarter 2026 earnings conference call. We released this morning premarket our earnings. And if you haven't seen it yet, you can find it on our website under the Investor Relations tab at ferrellgas.com. With me today is Tamria Zertuche, our President and Chief Executive Officer; and Nick Heimer, Ferrellgas' Controller. Today's call includes prepared remarks where Tamria and Nick will go over our first quarter results for fiscal 2026, concluding with responses to submitted questions. Please note that this call may contain forward-looking statements as determined by federal securities laws. For this purpose, any statements made during this call that are not statements of historical facts may be deemed forward-looking statements. These statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in any forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, except to the extent required by law. In addition, please refer to the 8-K earnings release to find disclosures and reconciliations of non-GAAP financial measures that may be referenced on today's call. This morning's conference call is being webcast and is also available for replay via our website. With that, I will turn the call over to Tamria.
Tamria Zertuche: Thank you, Michelle, and thank you to all joining our call today. I'm proud to share results, a strong first quarter, reflecting the dedication of our 4,000 employee owners who provide not only warrants and energy to our customers coast-to-coast, but also the solid financial and operational results that position us for sustainable long-term growth. Throughout the quarter, our team stayed focused on what matters most, serving our customers safely and efficiently. Our mission to grow the business continues in FY 2026 through several key strategic priorities. Most notable are safely building a profitable customer base through both organic growth and acquisitions, increasing operational efficiencies and improving margin performance. A key component in achieving our strategic priorities occurred in October 2025 when we strengthened Ferrellgas' financial foundation with a few essential moves. We retired $650 million of senior notes due in 2026 and replaced them with $650 million of new notes maturing in 2031, extending our debt time line and improving flexibility. We also expanded our revolving credit facility, giving us even more opportunity to grow. These actions set us up to invest confidently in the business and to capture new growth. Against this backdrop, we're also encouraged by the national shift in the energy conversation, which increasingly recognizes propane as an affordable, versatile and essential component of a long-term national energy strategy. Turning to safety for a moment. We continue to focus on our safety investments. This quarter, we continued our in-cab safety technology investment, enhancing the driving skills of our professional drivers. We also took a leading role in the industry and successfully transitioned to the new PERC Education Program. This is a function-based, modular and more targeted approach to employee safety and technical training. These programs, among others, are important factors to lowering our recordable injuries. Ferrellgas stands out in a highly fragmented market, thanks to our nationwide footprint and our unmatched customer service. This quarter, we had several key drivers to our performance. In the retail business line, we secured 7 new national contracts and renewed 5 existing ones. Together, those represent about 3.5 million gallons, highlighting our ability to win and retain large nationwide customers. At the same time, demand in our autogas division is rising as customers such as school districts appreciate the lower carbon footprint of propane versus diesel. The tailwind of electric vehicle subsidies is tapering off, opening new growth opportunities in this segment of the business. A further focus was on our temp heat market, where our strategy resulted in a 37% increase in tank sets over prior year. The wholesale team also successfully executed in the first quarter. Blue Rhino was prepared for a robust hurricane season, but quickly adjusted to lower storm-related demand by performing well on controllable metrics of efficient routing, flexing labor to the demand and upgrading production facilities to meet our future growth. Ferrellgas remains deeply committed to making a meaningful difference in the communities we serve. In the first quarter, we strengthened this commitment by expanding our partnerships with organizations such as Operation Warm and Operation Barbecue Relief. Working with Operation Warm, we provided coats to children in Indianapolis. And through Operation Barbecue Relief, we helped deliver hot meals to first responders across St. Paul, Kansas City and Tampa. Our focus on community extends to our people as we celebrated Customer Service Week and Driver Appreciation Week and awarded Ferrellgas scholarships and recognized outstanding performance through our Flame and Golden Rhino Awards. Beyond these efforts, Ferrellgas employee owners supported community, veterans, first responders and youth initiatives nationwide. I will now turn the call over to Nick Heimer, our Controller, to review our first quarter financial accomplishments. Nick?
Nicholas Heimer: Thanks, Tamria. Turning to our first quarter results. Performance was in line with our expectations despite, as Tamria said, not seeing the volume we have historically experienced in the first quarter due to the lack of landfall hurricanes. For the first fiscal quarter, adjusted EBITDA, a non-GAAP financial measure, decreased by $6.5 million or 18% to $29.3 million compared to $35.8 million in the prior year quarter. After EBITDA adjustments primarily related to the prior year first quarter $125 million Eddystone litigation settlement, this quarter's decrease was primarily driven by increases of $5.6 million in operating expense and $2.1 million in general and administrative expense. The $5.6 million increase in operating expense was due to increases of $4.1 million in personnel costs, $900,000 in vehicle expense and $600,000 in plant and other. The $4.1 million increase in personnel costs primarily related to the increases of $5.5 million in workers' compensation accruals and $2.8 million in payroll costs. The increase in payroll costs reflects planned merit increases for both field and corporate support employees and in field-related headcount to address customer demand. These expenses were partially offset by a $3.3 million decrease in medical and pharmacy claims expense. The $2.1 million increase in general and administrative expense was driven by $1.3 million in compensation costs related to the vesting of fiscal 2025 phantom plan grants for nonemployee directors as well as the timing of adjustments to incentive accruals. Gross profit was flat with $100,000 change compared to the prior year quarter, which is typical in the first quarter as the company prepares for the upcoming winter season. Margin per gallon increased 6% in the first fiscal quarter and a revenue decrease of $8.9 million or 2% was offset by a cost of product decrease of $8.8 million or 5%. The company recognized a net loss attributable to Ferrellgas Partners L.P. of $26.9 million and $146.7 million in the first fiscal quarter of fiscal '26 and '25, respectively. As noted above, the first fiscal quarter of fiscal 2025 included the $125 million Eddystone litigation settlement. Back to you, Tamria.
Tamria Zertuche: Thank you, Nick. We are confident that by safely delivering the best customer experience in the propane industry, we will continue to attract new customers and expand our market share. Our strategy rooted in disciplined growth, operational excellence and a strong customer focus positions us to perform well in today's evolving energy landscape and to stand out from the competition. Each quarter, we are strengthening our track record of steady improvement, and I remain confident in our ability to achieve sustained long-term growth. Finally, I want to once again thank our employee owners for their dedication in delivering a strong quarter and preparing us for another successful winter heating season. Thank you for joining us today and for your continued interest in Ferrellgas.
Tamria Zertuche: We did receive several questions through the Investor Relations inbox at Ferrellgas. Thank you for those. Really, they could be best moved into maybe 4 categories. So I'll just tackle the first one. The first question really involves plans regarding Class B potential future distributions. So as discussed this morning, we are very pleased to have successfully completed the refinancing of our notes that were due in '26 and the amendment and extension of our revolving credit facility. We really believe that these transactions together, they improve our credit rating and our with our operational results, they really afford us the flexibility to make the best decisions for our company and our stakeholders. So thank you to our bank group and to all who follow and invest in our story. We appreciate the questions that we've received regarding the Class B units as well. But as a reminder, we do not comment on our distribution policy, and we will continue to evaluate all our strategic opportunities. If you have specific questions around the technicals of the Class B units, you may find really a complete overview in our public documents. We did receive several questions around Safran Advisors and Andy Safran in his role with Ferrellgas. Andy Safran in particular, is doing a fantastic job of guiding us through the different pieces of our capital structure, first through the refinancing and now looking at strategic opportunities for the company. I'm fortunate to have Andy with me representing the great work of our employee owners that quarter after quarter, they perform. So it's an easy story for Andy and us to tell. Nick, there is a question here around our acquisition strategy. Would you like to take that one?
Nicholas Heimer: Yes. Sure, Tamria. Happy to take that. I'd say Ferrellgas has a very strong M&A team with Richard Mayberry running point for that group. We've always maintained a healthy pipeline of opportunities, which is under continual evaluation. During the winter season, a lot of that M&A activity tends to pause, but we certainly do see opportunity to continue delivering on our track record to strategically acquire where appropriate, where we can generate high returns.
Tamria Zertuche: The next question is around [indiscernible] go ahead and kind of explain where we are on that and what's left on that matter.
Nicholas Heimer: Yes, sure. Happy to speak on that one, too. We will be making our final payment of $37.5 million on the Eddystone settlement January 15. That amount is currently secured by a letter of credit. So with that LC removed, we will be net neutral from an available liquidity perspective within our credit agreement.
Tamria Zertuche: Thank you, Nick. I think that wraps up the questions that we received on quarter 1. Thank you to everyone for joining the call and your continued support of the company. I will now hand it back over to the moderator.
Operator: Thank you. Ladies and gentlemen, this does conclude today's presentation. Thank you for your participation. You may now disconnect, and have a wonderful day.